Operator: Good afternoon. Thank you for joining Tetragon's 2016 Annual Report Investor Call. You are all in listen-only mode. The call will be accompanied by a live presentation, which can be viewed online by registering at the link provided in the company's conference call press release. This press release can be found on the homepage of the company's Website, www.tetragoninv.com. In addition, questions can be submitted online while watching the presentation. As a reminder, this call is being recorded. I will now turn you over to Paddy Dear to commence the presentation.
Paddy Dear: Thanks very much. As one of the Principals and Founders of the Investment Manager of Tetragon Financial Group Limited, I'd like to welcome you all to our Investor Call, where we're going to focus on the company's full year 2016 results. I will provide an introduction; Paul Gannon, our CFO will review the company's financial performance for the year; Mike Rosenberg, Steve Prince and I will talk through some of the detail on the investment performance and then we'll conclude with questions, those will be both taken electronically via our web-based system at the end of the presentation as both received since the last update. I'd like to remind everyone as usual that the following may contain forward-looking comments including statements regarding the intensions, beliefs or current expectations concerning performance and financial condition on the products and markets in which Tetragon invests. Our performance may change materially, as a result of various possible events or factors. So, starting with a slide taken from the front of our new annual report, shows both results for the year but also put them into context with some longer-term metrics. Paul will go through the key metrics in a moment and then move into over the last five years, but let me start with this as a snapshot for 2016 and put it into the context of the longer-term. So, firstly top left on this slide NAV per share, the increase in NAV per share on a total return basis was 8.5% for 2016 and as you can see that is up 189% since the IPO almost 10 years ago, in April 2007. The second line looks at the return on equity or think of it as the investment performance and as a lot of you are aware, over the long time, we're looking for 10% to 15% return on an annual basis, although as we've said several times, we do expect that to be lower in low LIBOR environments, which is obviously the environment we're in currently. The return for 2016 was 6.3% as you can see on the right-hand side there and the average since IPO is 12.7%. And lastly on this slide, you have the share price. Obviously, we don't manage the share price, but we're very pleased to see that during 2016 on a total return basis, the share price rose by 33% over the year. The next slide, we just sort of continue here shows the -- talks about the dividend on the top left-hand side. So, the dividend that is just being declared was $0.1725, which is the final dividend for the year and absent exceptional circumstances, we would expect that same dividend level again from the first quarter, which ends up being paid at the end of April and that would be in line with previous process of keeping two quarters the same. On that basis, as you can see the top left-hand side shows up with the current share price, that represents approximately a 5.5% yield. Also, I would point out on the bottom right-hand side of this slide, 24% of the public shares are owned by principles of the manager and including TFG Asset Management employee and we believe this is an important strong alignment of interest with our shareholders. Also in 2016, as previously announced, the company has adopted IFRS, the one benefit of this change is that instead of presenting both fair value and audited U.S. GAAP NAV performance metrics Tetragon is now able to present a single set of audited IFRS NAV performance metrics. We hope that investors find the annual report and accounts simpler and more informative. Also, Tetragon plans to change the reporting cycle throughout the year, providing more information on a monthly basis and then on publishing the first and third quarter reports and Investor calls will be held going forward on that semi-annual cycle. Moving now to graphical representation and getting back to performance, what this slide shows is the performance base that we've talked about over the long time and merely represented graphically, so you can see the trend over the longer term. The top bold line shows the steady growth in the NAV per share over the last 10 years or so and the dotted line which represents the share price, as you can see, shows that 33% rise on a total return basis that I was talking about earlier. So, with that as introduction, now let me turn over to Paul to go through the key performance metrics.
Paul Gannon: Thanks Paddy. I am going to provide some high-level comments on sort of the key metrics that we continue to focus on. Paddy, Steve and Mike will then discuss the underlying dynamics for each of the business lines. As you're hopefully aware from the announcement made in December, the fund has adopted IFRS as the accounting standard for the purposes of carriage and reporting its accounts and this yearend was the first time that we've published such accounts. Tetragon continues to focus on three overarching main metrics. We look at how value is being accumulated in the company by a NAV per share focused return. We also look at better returns measures as a return on equity and finally we monitor how value is being returned to shareholders through distributions mainly in the form of dividends. So firstly, looking at these diluted NAV per share, was $20.01 at 31 December 2016 after adjusting for dividends reinvested as a NAV, this year yielded a NAV per share total return for the year of 8.5% and we're approaching this since the IPO 2007, the NAV per share total return for Tetragon is 188.7%. Next, for monitoring in returns we continue to use a return on equity calculation and for 2016 Tetragon recorded 6.3%, which is net of old fees and expenses and in terms of the earnings per share, this represented $1.37. Now while it is below factual long term target of 10% to 15%, the average ROE achieved since IPO remains at a healthy 12.7%. Later on, in the call, we'll give more color as to how the specific asset class has contributed to the return this year. Continuing the dividend quality which is target to payout ratio, 30% to 50% of normalized earnings, the Board declared a dividend of 17.25%, an increase of $0.005 over the five quarters dividend. On a cumulative annual basis, this represents a dividend of [65.25] which on a year-end share price of $12.30 in the year would have be 5.5%. With that, I'll now hand back to Paddy to talk a bit more detail about the year-on-year NAV progression.
Paddy Dear: So, looking at Slide 10 here, this is a new chart again taken from the annual and the purpose is to show the bridging from the 2015 NAV per share to the 2016 NAV per share. As you can see on the left-hand side, Tetragon's full NAV per share was 19.08 at the end of 2015. As I said, that's from somewhat left a bit this chart and as at 31 December, 2015, that has risen to 20.01 and that's on the right-hand side of this chart. So just taking you though the various pieces, the first item in the bar is the investment income and that contributed a $1.83 per share and on the negative, side our operating expense amounted to fees reduced by $0.56 per share and a further $0.02 from interest expense. And moving to the capital side, cash dividend reduced NAV by $0.62 a share and then the fully diluted number is changed. So, the two major factors, so first of these on the negative side is the change in the year with additional dilution due to handful of things. Group dividends, additional recognition of equity-based compensation shares, dilution with respect to share options as a result of the increase in the Tetragon share price and dilution associated with the deferred incentive fee paid to the manager. In aggregate, those increased share dilutions with a reduction in NAV per share of a $1.08 and then lastly the share repurchases during the year at discounts to NAV added a $1.37 per share. So now moving to the net asset composition of the portfolio and these are slightly new charts taken over the pie chart with you previously that shows the same information of the breakdown of the net asset for the portfolio. So, the left-hand side shows where we were at the end of December 2015 and the right-hand side of the chart shows where we are at end of December 2016. The asset class allocation have changed little year-over-year. The two-main move are loans which are CLOs where we've moved down from 30% to 24%, mainly due to amortization of the CLO 1.0, which we'll hear more about in a moment. And then the second is where we have increased exposure to the event-driven equity distressed opportunity from convertible bond section of our hedge funds, where this has increased from 17% to 21%. Some of this is performance plus an increase allocation to event-driven equity. The description outside of each of these rings refers to the structure of the investment vehicle through which Tetragon has made its investments. Moving now to Slide 12, the net asset breakdown summary, if you imagine that bridge top which I showed was looking at the NAV per share, this table now shows the breakdown of the competition of Tetragon's NAV as of the end of December 2015 and its progression through the year till the end of December 2016 and looks at the factors contributing to the changes in NAV over the year for the purposes to show investment performance plus capital flows plus time of change in NAV. As you can see from the total column of gains and losses, the investment performance generates a $184.1 million of gross returns and was positive across all these asset classes. So hopefully you can see from the chart, the bank loans of ICLOs generated $99.9 million of performance event-driven equity, distressed opportunities and convertible bonds are the hedge funds produce $26.4 million of profit, real estate, mainly by our private equity funds produced $9 million of profit, TFG asset management produced $21.6 million of profit and the other equities and credit section produced $27 million of profit. Just one other thing to note from this chart and then notwithstanding the positive investment performance, the total NAV decline during the year accounts with return to investors by cash dividends and share repurchases as discussed earlier. So now what I would like to do is talk a little bit more about the performance numbers and to start with, we'll talk about bank loans of our CLOs and to do that, I'll pass over to Mike Rosenberg.
Mike Rosenberg: Great. Thanks Paddy. So, first I am going to give you a overall feel of market update and then I'll go over a review of our portfolio. [Slow] markets opened 2016 with fears of a timely slowdown and the overhang of troubled energy credits weighing on investor sentiment. The S&P LSTA index declined from 91 at the beginning of January to 89 by mid-February and the new issue CLO market remained close until the last week in February when it opened up for a small group of managers including the LTM. By March however, oil and gas fears again to subside, loan manager began to prove that they developed risk retention plans and the CLO market regained its footing. The market rally continued throughout the balance of the year pausing only for a short while to digest the Brexit vote in June and by year-end, the S&P LSTA index had rallied to 98. This pricing spread action often reflected the decline in defaulted loans in the LSTA universe of 3.5% at the end of 2015 to 1.6% at the end of 2016. The improving default environment was a positive for CLO's, which faced a challenging CLO equity arbitrage environment due to both the rise in US LIBOR rates and tightening nominal loan spreads. Offsetting these effects of a certain extent was the fact that CLO dead spreads also declined significantly in 2016 which allowed for continued issuance of U.S. CLOs in various times during the year. With average U.S. loan LIBOR floors now below current spot LIBOR levels, any future rate increases should have a positive effect on equity excess cash flows, all else being equal. CLO market issuance reached $72 billion by year-end which though lower than the $99 billion in 2015 was impressive in that it exceeded expectations by a significant margin. Furthermore, it is worth noting that in addition to the $72 billion in new issue CLO volume there was $38 billion of refinancing and reset activity. This means that taking re-financings and resets and new issued deal together, the capital committed by CLO investors in the primary market in 2016 was closer to $110 billion. Much of this refinance and reset volume came in the fourth quarter prior to the official implementation of risk retention on December 24. For 2017 as expected new CLO creation is off to a slow start as managers adjust their issuance pace to life under the risk retention regime. That said, managers and dealers are keeping busy with refinancing and reset transactions. We believe the market for CLO liabilities particularly at the AAA level is deeper today than it has been in past years. There are new investors entering the market from Japan, China and the U.S. With the reduced supply of new issue CLO due to risk retention and re-financings and resets creating cash balances for investors, CLO spreads have continued to tighten in the early part of 2017. We believe new issue USCLO AAA spreads for top-tier managers tighten from the low 140 basis points range at the end of December to the high 120 basis point area as of the end of February. We note this would some caution however as there have only been a few completed new issue deals in the first two months of 2017. At the equity level, new investors are likely to be risk retention vehicles where the manager and their partners are taking the entirety of the equity. As such, we believe it is becoming more difficult for nonstrategic investors to source equity. We think that this market dynamic positions us well going forward giving our risk retention strategy. Additionally, it's been our experience in some the best vintages of CLO equity for those originated when bank loan and CLO liability spreads were relatively tight. Now turning to Tetragon CLO portfolio. Tetragon continues to invest in CLO's via majority positions in the equity tranches. CLOs had a good year with performance shaped by a few key themes, first was the continued amortization of older vintage U.S. and European CLO as the deals move through their reinvestment periods. Second was the early optional redemption or sale of older vintage CLOs to monetize rising loan prices and reduced tail risk of the CLO portfolio. Third, was the execution of refinancing and reset transactions on a number of U.S. CLO 2.0 transactions to improve their equity arbitrage levels and lastly was the rising U.S. LIBOR rates and tightening nominal loan spreads in the context of a relatively benign credit environment and I’ll touch on these themes as I go through Tetragon CLO portfolio segments. The first is third party manage US CLOs. This portion of the portfolio performed well during 2016 generating $46.3 million of income despite facing the headwinds of rising LIBOR rates and tightening nominal loan spreads. Tetragon also focused on managing the wind down path of its seasoned U.S. CLO's and on optimizing their ongoing equity arbitrage levels. In the latter half of 2016, Tetragon took advantage of supportive loan and CLO market conditions to execute early optional redemptions of four non-LCM managed U.S. CLO transactions and to sell one non-LCM managed U.S. CLO position. Also, as redemptions and sales were executed above fair value levels generating realized gains for the portfolio and brings forward expected future cash flows thereby reducing the tale risk of this segment of the portfolio. Tetragon also sought to increase the value of its investments via CLO debt refinancing transactions and reset transactions. Next is the LCM managed CLO's, LCM CLOs also performed well in 2016 generating $44.3 million of income. During 2016 Tetragon made two opportunistic secondary LCM CLO equity purchases and as loan market conditions improved, Tetragon sought to monetize the loan price rally by exercising the optional redemption rights on three LCM transactions that were passed the reinvestment periods. The execution of all such redemptions was accretive generating proceeds of access of pre-redemption fair value levels. Additionally, during the fourth quarter of 2016, Tetragon successfully refinanced liabilities of an LCM transaction. With respect to the European CLO segment of the portfolio, Tetragon's European CLO portfolio generated $8.5 million of income as they continue to amortize during 2016 as the fair value of the European CLO positions declined by approximately 46% from the prior year-end. This reduction in exposure was achieved by a combination of natural amortization, as well as the exercise of an optional redemption on one transaction. As of the end of 2016 all of Tetragon CLO's were compliant with their junior most OC tests. Lastly, I'll give an update on TCI II. TCI II is the multi-manager CLO equity investment vehicle established by TCIP a 100% owned subsidiary of TFT as a management. During the year, the vehicle continued to raise capital and ramp its portfolio. As of year-end TCI II held six CLO equity investments with three transactions managed by LCM and three deals managed by TCI capital management, TCICM and sub-advised by TCICMs sub-advisory partners who are New York Life Investors, Symphony Asset Management and Columbia Management Investment Advisors. The performance of the vehicle existing investment was positive during the year with no payment default of any underlying loans within TCI II CLOs. And with that, now I’m going to hand it over to Steve.
Steve Prince: Thanks Mike. I’m going to discuss Tetragon's remaining investments. Tetragon invest in a venture of equities distressed opportunities and convertible bonds through hedge funds. As of the end of 2016 all of these investments were through polygon managed hedge funds. Tetragon had positive returns in all but one of its hedge fund holdings in 2016. The most profitable bucket this year was from Tetragon’s investment in polygon's distressed strategy. Polygon has specifically sought to avoid exposure to commodity names over the boom and bath commodity cycle of the last two years, which it believes has helped the fund to avoid the accompanying volatility by commodity-related investments have produced over this period. The second largest contributor came from Tetragon's investment in the polygon European equity opportunity fund, which is a strategy focused on event-driven investing. The third largest contributor was from the polygon convertible opportunity fund. This strategy remains focused on capital structure relative to value trades with specific rewriting catalyst, its tightly hedged and it's broadly diversified. 2016 was another good year for Tetragon's investment in this fund. There were two strategies that generated small losses, first the investment in the mining equity strategy resulted in a small loss for 2016 and second polygon global equities fund Tetragon’s allocation to this strategy remains small in relation to its other hedge fund investments this strategy focuses mainly on global capital markets dislocations. I'm now going to do stop Tetragon’s real estate investments. Tetragon hold most of its investments in real estate through GreenOak-managed funds and investment vehicles. The majority of these GreenOak funds are private equity style bonds, concentrating on opportunistic investments in commercial property investments based on local knowledge and experience in each target market. These investments all showed positive returns in 2016. During the year, Tetragon made some additional capital contributions to existing investment programs across Europe, the United States and Asia. In addition, Tetragon realize approximately $38.5 million in capital and income through distributions from a number of GreenOak managed investment programs. From a high level, GreenOak continued to sell assets in the United States and Europe GreenOak is primarily focused on value opportunities in southern Europe in particular. In Asia GreenOak continues to monetize investments in Japan fund one. In addition to these real investments, Tetragon also add investments in commercial farmland in Paraguay. These farms were bought during 2015 and 2016 and are currently valued at $27.7 million which is a cost-plus capital expenditure. The loss today reflects ongoing fees and expenses. Next, I’m going to discuss TFG asset management which comprises a diverse portfolio of alternative asset managers. This balance sheet item recorded an investment gain of $21.6 million. Tetragon’s investment in Equitix made a significant positive contribution during the year of approximately $31.2 million at an increase in fair value in local currency was locked into US dollars through the use of forward currency hedges. This gain reflected the underlying positive performance of this business and the growth in AUM that happened during the year. The offsetting negative on the table was solely from the monetization of the opera mentioned hedges. The value of Tetragon's investment in TCIP also increased as it continues to deliver against its business plan for its first vehicle TTI2. Tetragon’s investments in GreenOak and LCM had small unrealized losses during 2016 reflecting a combination of factors including the application of less favorable market multiples or discount rates and a more conservative view on elements of projected performance during the year. Tetragon’s investment in Polygon made a somewhat larger loss during the year as it's fair value decline. A combination of lower EBITDA caused by slower than anticipated AUM growth and reduce market multiples as used by the valuation agent resulted in a reduction in the carrying value of this investment. We continue to believe that the underlying economics and its momentum of all of the TFG asset management businesses remain positive as measured by among other things EBITDA and AUM growth. Of particular note, AUM was just under $20 billion in the fourth quarter of 2016 which compares to $17.1 billion in the fourth quarter of 2015. While EBITDA was somewhat flat with last year TFG asset management had substantial management fee growth of 18% year-on-year, as well there are a number of TFG asset management businesses that are still in their J-curve as they continue to deliver investment performance and we're able to raise a UM that should flow through into profitability. One other item of note is that polygon made the decision to close its mining fund during the year. Most of Tetragon's investments are made either through investment in vehicles managed externally or by managers within TFG asset management. However, occasionally textured Tetragon will make investments directly on its balance sheet. Other equities is the largest of these two types of investments. These assets generated net income of $25.9 million during 2016 across a number of different investments all of which were profitable during the year. The largest driver of the returns were event-driven positions in Europe that have been held for a number of years. Finally, in other credit, this segment included a positive £3 million loan to GreenOak in connection with its acquisition of Grafton Advisors a U.K. property adviser. This loan was repaid during the fourth quarter of 2016. Tetragon’s net cash balance at 31 December 2016 was $390.6 million. The cash is held approximately 50% in secured arrangements lend by tri-party repurchasing agreement using Bank of New York Mellon as the tri-party agent. The other 50% is held in unsecured arrangements and Tetragon’s operating cash balances held at paid street. All of Tetragon’s cash is held at highly rated banking institutions in on-demand arrangements thereby ensuring that they are not exposed to any term risk. The company actively manages its cash levels to cover future commitments into enable it to capitalize on opportunistic investments and new business opportunities. During the year, the company used $137.6 million of cash to make investments, $45.9 million to pay dividends and $157.8 million to repurchase shares. In addition, Tetragon, currently has $150 million revolving credit facility in place of which $38 million has been drawn. I’ll now turn it back to Paddy.
Paddy Dear: Thanks Steve. So, Steve's talked little bit about how we manage cash and just moving on to the final slide of the presentation as always, we put up some indications as to where we think future investment expectations may be. Obviously, this is a combination of known commitments as we’re discussed before, but also an opportunistic view of where we may want to make the investments. So, let’s starting at the top with bank loans and as you can see we'll be expecting the CLO 1.0 portfolio to continue to amortize down. We're also looking as Mike was explaining to continue to make investments perhaps in the order of $50 million to $200 million per annum. We do expect certainly the majority of our new issue CLO exposure to come through TCIP, which would be the fund TCI2 or the partnership TCI2 where Tetragon continues to be a major investor. Looking at event driven equities, there are no current plans to change the exposure although just to reiterate what Steve was saying, polygon is closing its mining fund and we expect that cash to be returned to Tetragon or it's invested cash be returned within the first half of the majority that to be return in the first half of this year, which will obviously be a cash inflow. As far as distressed opportunities or convertible bonds no current expectations to change those allocations. Real estate as a way to continue to be little bit more complex. We have made commitments to GreenOak funds and expect to be drawn on somewhere between $25 million and $100 million of capital over the next 12 months. As always, the timings both of those drawdowns but also capital returns are very uncertain. TFG asset management no new business to report, but there is a possibility in terms of cash that we refinance the bank borrowing at equity in the first half of this year. If that were to be successful, that would result in a release of cash from that position. Looking at our pipeline, for new businesses continues to be a long pipeline and we got a rigorous process making sure we're seeing review as many opportunities as possible, but I would say expect us to continue to be opportunistic we're dealing in new potential businesses as there is nothing in the pipeline at the moment. Mining finance while Hawke's Point is an area that we're said over the last few calls that we are soft committed potentially up to as much as $100 million to be invested whilst none of that was invested at year-end the first investment of approximately $10 million has been made in the first quarter. So, potentially there is up to another $90 million of capital to be put to work there and invested over the coming year or also. Lastly just to reiterate Tetragon has $150 million revolving credit facility in place of which $38 million has been drawn and as always, we have this new asset class section nothing pending but obviously, we want to have an opportunity to add new asset classes should we get the right opportunity. So, with that, I’ll move to questions. And I’ve thought few over that have come in. The first one and is given the cash and large discount to NAV, are there plans to continue the highly accretive buybacks and tender offers or are there better uses of cash to make investments. We have this question in various different forms on most calls and it won't be as surprise that our views haven’t changed and that is to say we've just gone through the hard and soft commitments that we do have in our cash. So, whilst what looks like a very high cash level to some, it certainly is less so when one look for all the commitments that was made which is one of the reasons we need to go through that. But certainly, whenever we make investments we do look at all of the uses for cash and yes buyback can be a good investment and certainly the discount to NAV can’t be accretive to that NAV per share not for sure and to put that into context as you will see from the annual report to date $543 million has been spent on share buybacks over the life of the company since IPO in 2007. So obviously, there is evidence there that we've used that fairly substantial amount of cash to make buyback but specifically there is no formula or program we will continue to be opportunistic in the buybacks that we do and so no changed us to historic stocks from that position. Second question, I have is what are the biggest risks and opportunities taking the fund if we look at over the next two to three years? Well I suppose the first thing I would say is those of us who know us were very much looking from a bottom-up perspective to build attractive risk written portfolio and trying not to make strategic over multiple years on any macro event. All assets that we own given that they are financial assets carry their own specific risks and what we’re trying to do with a diversified portfolio is ensure that those risks have relatively low correlation between them. Then I suppose the both obvious answer in terms of that has higher risks and higher opportunities of reward our holdings in collectively TFG asset management. Given the operational gearing of asset management businesses to both AUM and performance, I think those are the areas of the portfolio that are the most exciting but also to the nature of the question probably carry the most risk as well. Next I have here, is it possible to provide some color on the public equity trades within the other equities and credit bucket during 2016? And I think the answer is yes and no. We don't disclose specific trade or investments particularly whilst we're involved in them. It maybe that after the event we're happy to discuss both of those strategies or investments. But in general, these idiosyncratic trades that are generally not applicable in front of the underlying investment vehicles for reasons all leverage or liquidity or what have you and both hit most appropriately on the balance sheet. Next question is why have you drawn on the credit facility when you have significant cash balances? And answer to that is several fold. The first element is there are minimum fees paid on the revolver. So, that is part of the answer. Secondly, one always wants to test the operational processes and the nature that the revolver is work in practice not just in theory, but also it is our intention and plan to build long-term relationships with the providing banks. We are keen to keep the revolver in place for multiple years, not just to have a short-term process and to do that we need to obviously keep those relationships. What were the investment returns by asset class please for CLOs, real estate, hedge funds, TFG asset management and other? I think the best place to answer this is to go to figure 12 and figure 12. So, the performance gains by the various different asset classes and you can see they're broken down by those asset classes for the total of $184 million for 2016 and the gross returns. But I think once you get those into total return in terms of their effect on the NAV per share, I would look at this figure 12 and tie back to figure 10 and figure 10 shows that the investment performance on a gross basis attributed $1.83 per share and I think on a pro rata basis, that would be the best way to look at it to get that get specific answer. Next question is what are your latest thoughts on realizing the TFG asset management business please? And I think this is referring to our updated plan to IPO TFG asset management at the appropriate time. In terms of a quarterly update, I think there are obviously no new businesses, Steve has gone through the change in value of those businesses and indeed you can see from the report in accounts of the aggregate AUM of the businesses is up to about $20 million. So, we think that the businesses are performing well on track and need to continue to grow, but there isn’t any specific news and certainly we would like to see a lot of these businesses grow substantially from here prior to being able to execute on that IPO strategy. So, in short on track, but no specific news. Next question is when looking at the geographical allocation of the portfolio, do you have any plans to look East? I would say when we look at the geographical split, our current exposure to Asia or indeed anything east of Eastern Europe is in Japan, and that is through our real estate investments in Japan fund one and Asia fund two for [note]. Obviously, we will continue to invest in those and in fact we expect to be grown down on our exposure in Asia fund two over the coming years. Having said that, we have no current plans to do I plan to do anything further in Asia, but that doesn't mean we would really have to wrap up but certainly no current plans. And there is one here just I'll hand over to Paul. Yes sure. Thanks Paddy. Can you please repeat the EBITDA generated from the asset manager to TFG? So, the best way to think about this is TFG own investments in TFG Asset Management businesses and so TFG recognizes through its NAV, the fair value of all those businesses, the change on fair value during the year and something that Steve spoke about earlier, resulted in a 21.6 million gain through TFG through its NAV. If you look at the underlying investor businesses themselves, as we set out on Page 59 of the annual report, EBITDA of both businesses excluding GreenOak in 2016 was $47 million and by way of comparison it was $46.6 million in 2015 and $23.1 million in 2014.
Q - :
Paddy Dear: Great. Thanks Paul. And that concludes the questions. So, thank you very much folks for joining us and that will wrap it up. Thank you. Bye.
Operator: This will conclude the conference call. Thank you all for attending. You may now disconnect your lines.